Operator: Good morning, everyone. Welcome to Lowe's Companies' Fourth Quarter 2020 Earnings Conference Call. My name is Rob, and I'll be your operator for today's call. As a reminder, this conference is being recorded. 
 I will now turn the call over to Kate Pearlman, Vice President of Investor Relations. 
Kate Pearlman: Thank you, and good morning, everyone. Here with me today are Marvin Ellison, our President and Chief Executive Officer; Bill Boltz, our Executive Vice President, Merchandising; Joe McFarland, our Executive Vice President, Stores; and Dave Denton, our Executive Vice President and Chief Financial Officer.  
 I would like to remind you that a notice regarding forward-looking statements is included in our press release this morning, which can be found on Lowe's Investor Relations website. During this call, we will be making comments that are forward-looking, including our expectations for fiscal 2021. Actual results may differ materially from those expressed or implied as a result of various risks, uncertainties and important factors, including those discussed in the risk factors, MD&A and other sections of our annual report on Form 10-K and our other SEC filings.  
 Additionally, we will be discussing certain non-GAAP financial measures. A reconciliation of these items to U.S. GAAP can be found in this morning's press release and on our Investor Relations website. With that, I'll turn the call over to Marvin. 
Marvin Ellison: Good morning, everyone. I'd like to begin by thanking our frontline associates for their efforts to serve our customers and communities during the ongoing pandemic. In recognition of the efforts and the unique challenges posed by the pandemic, we invested over $100 million in incremental financial assistance for our frontline hourly associates in the quarter, which brought our total COVID-related support for hourly associates to over $900 million for the year.  
 We remain laser-focused on our highest priority, which has always been protecting the health and safety of our associates and communities. And in the quarter, we invested $65 million in support of store safety protocols and our communities. For the year, we invested nearly $1.3 billion in COVID-related support for our associates, store safety and our communities.  
 Now turning to our results. For the quarter, we delivered total company comparable sales growth of 28% over the prior year and 41% growth in adjusted diluted earnings per share to $1.33. Those results cap off a fiscal 2020 where comp sales increased 26% and adjusted earnings per share grew 54% to $8.86. Looking at the fourth quarter results from a geographic perspective in the U.S., growth was broad-based, with comparable sales growth exceeding 19% across all 15 geographic regions and exceeding 25% for all U.S. divisions.  
 On Lowes.com, sales grew 121% as customers shifted more of their shopping online, especially over the holiday season. We continue to enhance our omnichannel retailing capabilities in store operations, on Lowes.com and across our supply chain, with our goal to meet customer demand to shop however, whenever and wherever they choose.  
 Once again, DIY comps outpaced Pro comps in the quarter, driven by consumer mindset that remains focused on the home. During the pandemic, the home has come to serve 4 primary purposes: a residence, a home school, a home office and the primary location for recreation and entertainment.
 In addition to the strength in the DIY customer, our continued focus on the Pro is a very important component of our total home market share acceleration strategy. And Pro continues to show strong momentum, evidenced by the mid-20s comp in the quarter and nearly a 20% comp for the year. 
 Part of our Q4 success in Pro was driven by our steps to tailor our service offering for these busy customers, even redesigning the footprint of our stores to facilitate a fast, intuitive shopping experience for our small and medium-sized Pro. Pros are rewarding our efforts with their repeat business, returning to shop our stores over and over again. 
 Looking forward, we're focused on further enhancing our service levels, both in-store and online, to meet the needs of our new and existing Pro customers. Joe will discuss our efforts to grow market share in Pro later on the call.  
 Now turning to Canada. We delivered comp growth in the mid-teens despite several COVID-related operating restrictions that went into effect during the quarter. The new Canadian leadership team made tremendous progress in 2020 and remains focused on improving operational efficiency by executing a retail fundamentals playbook to drive greater labor productivity and improve gross margins.  
 And as I mentioned earlier, we're gaining traction with our new Total Home strategy, which is our commitment at Lowe's to provide everything a customer needs for their home. As an example, during the quarter, we quickly pivoted from a successful holiday Season of Savings event to launch 2 events to support our Total Home strategy in January, a home organization event and a bath event.  
 During the home organization event, we provided our customers with storage solutions for their home and garages, freeing up valuable space for other activities. The bath event helped our customers find everything they need from paint to fixtures to toilets and tubs and even towels to upgrade their bathrooms. And for the customers who didn't want to do-it-yourself, we provided installation services. Truly a total home solution for a dream bathroom. Both events helped us to close out the fourth quarter with very strong sales in January. 
 Looking forward, I am confident we're making the right investments to leverage our Total Home strategy, while we shift our focus from retail fundamentals to accelerating our efforts to gain market share. 
 As a reminder, our Total Home strategy will drive market share acceleration by enhancing our investments in Pro, online, installation services, localization and elevating our product assortment. We are confident that these initiatives will allow us to drive sustainable market share growth as we deliver a total home solution for our Pro and DIY customers.  
 Before I close, I'd like to once again extend my heartfelt appreciation to our associates for their dedication to serving our communities in this time of need. Doing the most challenging personal and professional year in many of our lives, our associates made enormous sacrifices for our customers and communities. 
 And I'm very pleased that the marketplace is taking notice as reflected by Fortune magazine recently recognizing Lowe's as the #1 Most Admired Specialty Retailer, bestowing that honor on Lowe's for the first time in 17 years. We're humbled by the recognition, but we also know that 2021 will be a very unpredictable year. 
 Even with the vaccine rollout underway in the U.S. and Canada, we continue to grapple with numerous challenges presented by COVID-19. And although the business environment remains uncertain, we're confident that we will continue to drive market share gains and operating efficiency. 
 Also, our newly developed operational agility allows us to quickly respond to a wide range of potential macro outcomes in 2021. And we will not lose focus on our #1 priority, which is supporting the health and safety of our associates and our customers. 
 And with that, I turn the call over to Bill. 
William Boltz: Thanks, Marvin, and good morning, everyone. We delivered U.S. home improvement comparable sales growth of 28.6% in the fourth quarter. And consistent with the trends we've seen since the second quarter, growth was broad-based across both DIY and Pro customers, in-store and online and across all merchandising departments. In fact, all 15 merchandising departments generated positive comps of over 16%.  
 Great execution, combined with our compelling product offering of well-known national brands, balanced with high-value private brands, ensured that we were well positioned to meet the continued elevated demand for home-related projects during the quarter. 
 Lumber was, once again, the top performer, driven by strong unit demand across Pro and DIY customers, as well as commodity inflation. Our merchants and our supply chain teams did an exceptional job in working with our vendor partners to keep up with demand and to ensure that our stores were stocked with job lot quantities. 
 Several other categories posted comps above 30%, including building materials, which was driven by strong demand for roofing and gutters. An improved level of in-stock and an exceptional customer service have allowed us to continue to grow our Pro business in these Pro-focused building product categories. 
 Our seasonal and outdoor living, lawn and garden and paint categories also delivered comps above 30% in the quarter, reflecting the consumers' continued focus on the home. Our seasonal and outdoor living team delivered a successful holiday season with a holiday trim a tree program that exceeded the customers' expectations. The team also leveraged our selection in key brands to drive strong sales in grills, patio heaters and fire pits, as these categories were strong throughout the quarter as consumers continue to enjoy their outdoor spaces. 
 Outdoor power equipment was driven by sales of chore-related product, such as snowblowers, generators and pressure washers, as customers navigated the weather and worked to maintain their outdoor areas. 
 Continuing the theme of enhancing the outdoors, we saw strength in lawn and garden, with notable outperformance in holiday-related live nursery, along with growth in hardscapes, outdoor planters and cleaning products.  
 And finally, our paint category also continued its strong performance with both interior and exterior stains delivering strong comps as the weather early in the quarter remained favorable. 
 Now turning to our online results. As Marvin mentioned, we delivered sales growth of 121% on Lowes.com, our third consecutive quarter with over 100% comps online. And during the quarter, we continued to enhance the user experience as we simplified the search and checkout features to speed up the process for customers shopping online. 
 And we are also now working on replatforming LowesForPros to the cloud to be completed in the first half of this year, which will significantly enhance the features that we offer to these time-pressed customers and then further build out our loyalty with the Pro.  
 As we discussed last quarter, we have been resetting the layout of our U.S. stores with approximately 95% of our resets now complete. We expect to drive greater sales productivity per square foot by achieving 3 key objectives with this investment. First, driving Pro sales through a more intuitive and faster shopping experience as we've now placed relevant products adjacent to each other and added a Pro flex area for grab-and-go products at the front of the store.  
 Second, increasing our localized product assortment by eliminating unproductive bays without planograms or what we call junk bays, which now opens up space for new products, better tailored to the local market. And then finally, third, driving more transactions by moving the basket-building category of cleaning products to the main power aisle of the store.  
 We're confident that our stores are now easier to shop for both Pro and DIY customers, which positions us well to accelerate our market share gains. I'd like to offer my sincere appreciation to all the teams across the company who work so diligently to execute on this strategic initiative in such a short period of time. 
 We also continue to elevate our brand and product offerings. We are continuing to build on our position as the leading appliance retailer in the U.S. with the addition of Midea and Hisense appliances to our stores. 
 And Lowe's will soon become the exclusive home improvement provider of Mansfield plumbing products. This addition will make Lowe's the only home improvement retailer to offer customers the top 3 toilet brands in the U.S.: Kohler, American Standard and Mansfield.  
 As we transition to spring, we're in a great position to safely serve customers, and our teams have already been preparing by completing our new spring sets as we anticipate the arrival of the season around the country. 
 Leveraging our leading position in outdoor power equipment, we have a wide selection from EGO, the top-selling brand in battery-powered OPE, to John Deere, CRAFTSMAN, Husqvarna, Honda and Aaron's. In addition, we will have a terrific selection of patio furniture, including our refreshed allen + roth patio program, complemented by a wide array of grills as we continue to leverage the 2 leading brands in outdoor grilling, Weber and Char-Broil. 
 We're confident that our products will inspire customers that are looking to upgrade their outdoor space, which we think will continue to remain a retreat for many this spring season.  
 We're continuing to make changes to improve traffic flow within our outdoor garden centers to ensure social distancing while shopping, as well as showcasing inspirational vignettes and utilizing enhanced vendor support, all of which will drive a great spring season in lawn and garden. 
 And finally, we are excited to deliver new innovation in flooring with the launch of Pergo WetProtect technology available in laminate, engineered wood and rigid luxury vinyl, and offering guaranteed protection for both the flooring and subflooring. This new level of total moisture protection is a great Lowe's exclusive product that will provide peace of mind for consumers and further differentiate our flooring offering. 
 This spring, we will demonstrate to consumers that we provide everything they need to make their homes and backyards functional and safe, a reflection of our Total Home strategy. I'm looking forward to sharing more with you about our reimagined approach to spring on our next call.  
 And before I close, I'd like to express my thanks for the resilience and dedication showed by our merchants and vendor partners during what was truly an extraordinary year as these teams work tirelessly to meet the high levels of demand for our products and services. 
 Thank you, and I'll now turn the call over to Joe. 
Joseph McFarland: Thanks, Bill, and good morning, everyone. This past year presented challenges that few of us could have imagined. Lowe's has always been at the forefront in responding to crisis in our communities, and our associates rose to the challenge once again in 2020. 
 In recognition of the outstanding efforts of our associates, in January, we announced a bonus of $300 for each full-time associate and $150 for each part-time associate. This $80 million bonus brought the total COVID-related assistance to our associates to over $900 million in 2020. 
 And I could not be more pleased to announce today that for the fourth quarter in a row, 100% of our stores are under "Winning Together" profit-sharing bonus totaling $90 million. And because of their efforts, once again exceeded expectations, this represents an incremental $30 million over the target payment level. 
 And we're supporting our communities again through hiring as we bring on more than 50,000 seasonal and full-time retail associates this spring to ensure that our customers get the exceptional service they expect from Lowe's. This builds on the more than 90,000 associates hired into permanent roles over the past year. 
 2020 changed the way the customers shop with Lowe's. Nowhere is this more evident than the 111% sales growth on Lowes.com for the year. And with roughly 60% of these online orders fulfilled in our stores, we needed to dramatically expand our fulfillment capabilities to support this increased demand. We began by rapidly rolling out curbside pickup in the first quarter, and then we began to launch touchless BOPIS lockers in our stores a few months later.  
 We now have BOPIS lockers in over 1,200 stores with the goal of rolling out lockers to all U.S. stores by April. Providing multiple contactless pickup options for our customers, we are meeting consumer demands to shop Lowe's in whatever way they choose. 
 And we've continued to enhance the mobile app to improve the customer pickup experience. This quarter, we began rolling out geofencing technology that alerts our stores when customers are on their way to pick up their orders, enabling quicker fulfillment when they arrive at the store. 
 Last quarter, we announced that we were standing up dedicated fulfillment teams to handle all in-store fulfillment orders. All of these enhancements from the easy-to-use BOPIS lockers and the new geofencing technology, to the focus on the fulfillment teams, have already driven improvements in customer satisfaction and speed of service. 
 Importantly, the fulfillment teams are also improving productivity as they leverage enhancements that we've made to the picking app. This is evidenced by a dramatic reduction in the number of hours needed to fulfill orders for pickup. In fact, we can now fulfill orders 6x faster on average than 1 year ago. 
 Now let's turn to our performance with the Pro. As Marvin mentioned, we delivered mid-20s comps in the fourth quarter. We continue to enhance our Pro loyalty offering by providing Pros with the tools they need to get the job done. This time of the year, our Pros are focused on not only their project pipeline, but they also need to close their books just like any other business.  
 As a true partner to the Pro, we are now providing our Pro loyalty members with a $100 discount on TurboTax. Our Pro loyalty members can also export up to 24 months of transaction history, expediting their year-end close process. It's value-added offers like these that truly differentiate our Pro loyalty offering. 
 Throughout 2020, we continue to raise the bar on our offering for the Pro, with better service levels, the right brands and products and the job lot quantities they need. Every day, we are demonstrating that Lowe's is executing our commitment to be the new home for Pros, which is reflected in the strong repeat rates that we're earning from new and existing customers.
 I'd like to offer a special thanks to the entire Pro team for a fantastic year. Job well done. And I'm looking forward to building on this momentum as we continue to grow our Pro penetration. 
 And one way that will drive greater Pro penetration is through our newly launched Pro customer relationship management, or CRM tool. Rolled out to all stores in late January, this new technology provides our Pro desk with the tools to manage, grow and retain Pro accounts through consistent and data-driven selling actions. We will also be able to associate any transaction regardless of tender type to a specific Pro account, allowing us for better record-keeping for their business.  
 Store associate training is currently underway, and we expect that the targeted outreach enabled by this tool will facilitate stronger and more personal relationships with our Pro customers. 
 Over the past few years, the store operations team has made considerable strides in improving productivity in our stores, with technology enhancements that free up our associates to spend more time in the aisles serving customers. 
 As we move into 2021, we are kicking off a new productivity initiative in-store operations that we are calling our perpetual productivity improvement, or PPI. This key productivity initiative will play a critical role in our continued multiyear improvement in operating profit. 
 Through PPI, we will leverage new processes and technology to deliver continuous productivity enhancements. Some of the most significant technology initiatives under PPI are modernized checkout infrastructure, industry-leading in-store workforce management tools, new touchscreen POS, expanded rollout of digital signs, incremental functionality deployed to the handheld devices and enhanced store inventory management systems, to name a few.  
 These perpetual productivity improvements will help us to move toward our multiyear goal of achieving $2.5 billion to $2.7 billion in store OpEx productivity that we set at the December investor update. I look forward to updating you on the progress we are making towards these important productivity initiatives on future calls. 
 With that, I'll turn it over to Dave. 
David Denton: Thank you, Joe. I'll begin this morning with a few comments regarding the company's robust capital allocation strategy. In fiscal 2020, we generated $9.3 billion in free cash flow driven by outstanding operating performance, and we returned $6.7 billion to our shareholders through both a combination of share repurchases and dividends.  
 During the fourth quarter alone, we paid $452 million in dividends at $0.60 per share. We also repurchased 21.1 million shares for $3.4 billion at an average price of approximately $160 a share. This brings the total to $5 billion in share repurchases for the year. We have approximately $20 billion remaining on our share repurchases authorization and plan to utilize our strong cash flow to drive significant long-term shareholder value.  
 Capital expenditures totaled $619 million in the quarter and $1.8 billion for the full year as we invest in the business to support our strategic growth initiatives. We ended 2020 with $4.7 billion of cash and cash equivalents on the balance sheet. And along with $3 billion in undrawn capacity on our revolving credit facility, we have immediate access to $7.7 billion in funds. We remain confident that we have ample liquidity to navigate any unforeseen circumstances. At the end of the fiscal year, our adjusted debt-to-EBITDA ratio stands at 2.2x. 
 Now I'd like to turn to the income statement. In Q4, we generated GAAP diluted earnings per share of $1.32 compared to $0.66 last year, an increase of 100%. In the quarter, there was a very modest impact on operating income related to the previously announced Canadian restructuring. 
 Now my comments from this point forward will include certain non-GAAP comparisons where applicable. 
 In Q4, we delivered adjusted diluted earnings per share of $1.33, an increase of 41% compared to the prior year. These results were driven by higher-than-expected sales volume reflecting a continued consumer focus on the home, a modest benefit from the next round of government stimulus checks as well as strong execution across our operations.  
 Operating margin improved in the quarter as our strong focus on cost control and productivity continued to pay dividends. Q4 sales were $20.3 billion, driven by a comparable sales increase of 28.1%. This was due to comparable store average ticket growth of 14.2% and transaction growth of 13.9%, with strong repeat rates from both new and existing customers.  
 Commodity inflation drove a benefit of approximately 300 basis points to comps in the quarter as lumber continues to experience rising prices. U.S. comp sales were up 28.6% in the quarter. And consistent with our results for the past few quarters, growth was well balanced across both DIY and Pro customers, selling channels, merchandise departments and geographies. Our U.S. monthly comps accelerated through the quarter, were 23.8% in November, 28% in December and 35.7% in January.  
 As Marvin mentioned, the company pivoted quickly from a strong holiday selling season in late December to launch bath and home organization events in early January. January sales also benefited modestly from the second round of government stimulus. 
 Adjusted gross margin was 31.8%, down 9 basis points from last year. Despite cycling over significant improvements last year in our process to more effectively manage product margin, product gross margin rate improved 125 basis points driven by continued execution on our pricing, cost management and promotional strategies.  
 We took a less promotional stance across all categories, including our focus on EDLP and appliances, which benefited margin in the quarter. In addition, strong demand from holiday products led to good sell-through and minimal seasonal write-offs in Q4. These benefits to adjusted gross margin were offset by 40 basis points of pressure from inventory shrink, 40 basis points of pressure from supply chain cost, 35 basis points of pressure from lumber installation and 20 basis points of pressure from lower credit revenue.  
 Adjusted SG&A of 22.3% levered 42 basis points to 2019. As we anticipated, we incurred approximately $165 million of COVID-related expenses. These investments included approximately $100 million in financial assistance for our frontline associates and approximately $60 million related to cleaning and other safety-related programs, as well as approximately $5 million in charitable contributions. These $165 million of COVID-related expenses negatively impacted SG&A leverage by approximately 80 basis points.  
 As expected, we incurred approximately $150 million in the U.S. stores reset project, which negatively impacted SG&A leverage by approximately 75 basis points. As Bill mentioned, the resets have been completed in approximately 95% of our stores. These incremental costs were offset by payroll leverage of approximately 105 basis points related to higher sales volume and improved store operating efficiencies, occupancy leverage of approximately 30 basis points and advertising leverage of approximately 25 basis points.  
 Adjusted operating income margin of 7.6% of sales for the quarter was up 41 basis points to the prior year as operational productivity improvements were offset somewhat by significant investments in our stores and supply chain to drive long-term growth. 
 In addition, increasing investments in short-lived technology and store fixture assets is resulting in higher levels of depreciation versus our historical run rate. The adjusted effective tax was 25.8%. The tax rate was slightly lower than expected due to better-than-anticipated performance of our Canadian business in Q4. 
 We continue to build up our inventory levels throughout the quarter to meet the sustained high levels of customer demand. At year-end, inventory was $16.2 billion, and lumber inflation increased inventory values by approximately $240 million. 
 Now before I close, let me talk about our current trends and how we're planning our business in '21. Although February is the easiest comp this year, we are encouraged that the strong broad-based sales trends that we saw in the fourth quarter have continued this month, apart from the impact of the recent winter storms. 
 Looking at the balance of the year, our approach to 2021 remains consistent with how we outlined our planning at our December investor update. Like many companies, we have limited visibility into future business trends. It remains unclear when there will be a widespread availability of the COVID vaccine and whether there will be additional COVID-related restrictions like we're experiencing in the Canadian business today. 
 Given the near-term uncertainty, at our December investor update, we outlined 3 different market-based scenarios on how the mix-adjusted home improvement market might perform, be it weak, moderate or robust performance levels. Keep in mind that our business is more heavily weighted in DIY and less penetrated in online than the broader market, both of which create modest downward pressure on the Lowe's home improvement market outlook.  
 These 3 market scenarios would result in total sales expectations ranging from $82 billion to $86 billion for the year. While each scenario represents a top line decline from 2020 as we cycle this unprecedented industry growth, we continue to expect that our sales result will outperform the market as our initiatives are focused on delivering market share gains.  
 Additionally, in each scenario, we expect our adjusted operating margin to increase year-over-year, ranging from 11.2% to 12%, depending upon the demand environment. And consistent with my comments at the investor update in December, embedded in each of these scenarios are the incremental investments in frontline associate wages and equity programs that totaled $1.4 billion through 2019 and 2020.  
 At the same time, we have implemented a slate of perpetual productivity initiatives that Joe mentioned earlier. And we are investing to drive operational efficiencies in our business. We will also lap significant nonrecurring spend from 2020. 
 While it's still very early in the year, we are seeing market trends essentially in line with the robust market scenario. This scenario assumes the relevant home improvement market will experience a modest contraction this year, and our sales would approach $86 billion. We will remain agile to react rapidly to any changes in the market, and we are able to quickly flex store labor, advertising and incentive comp expenses. 
 And consistent with what we outlined at Investor Day, we are expecting $9 billion in share repurchases this year. Our repurchases activity should be roughly ratable by quarter but a little more concentrated in the first half of the year, given the robust cash flow generation driven by our spring selling season. And we are planning for approximately $2 billion in capital expenditures in '21. 
 So in closing, we remain extremely excited about the future of our business and its ability to continue to deliver sustainable shareholder value. 
 With that, we are now ready for questions. 
Operator: [Operator Instructions] Our first question comes from the line of Seth Sigman with Crédit Suisse. 
Seth Sigman: Congrats on all the progress. Dave, I wanted to follow-up on the guidance point here. Obviously, not full guidance, but the scenarios you discussed in December. If I recall, it included gross margin relatively flat. Given the pressure as you saw in the fourth quarter, I'm just curious, should we be thinking about gross margin in '21 down slightly, but maybe more benefits from SG&A to still get to the same EBIT margin outlook? How should we be thinking about that? 
David Denton: Yes. Seth, Happy New Year. Good question. Just I think, most importantly, is we're really focused on operating income and margin expansion as we cycle into this year. Clearly, we're focused on improving our gross margin performance, as you've seen us do that consistently through 2020. We continue to make really nice progress from a product cost perspective. 
 I think what you're also seeing us do is we're investing from a supply chain perspective to make sure that we're building out in the future to meet the needs and demands of consumers in the future. So I think we're excited about that. I do expect that gross margin over the longer term, think about it flattish. We are experiencing some headwinds as we think about inflation from lumber, but nothing has materially changed from what we discussed in December, Seth. 
Seth Sigman: Okay. That's helpful. And then just a follow-up question about demand. Obviously, the strength you've seen has been pretty broad-based. Beyond some of the seasonal variations that you've been seeing, I'm just curious how you see the consumer or the customer evolving their focus in the category? How are the types of projects changing? And part of the question is whether you're seeing an acceleration in some of the bigger projects that may have been constrained during parts of this year. Because it does feel like the mid-20s Pro comp that you pointed to, does seem like that's an acceleration. So I just wanted to get a little bit more context on that. 
Marvin Ellison: So Seth, this is Marvin. I'll take part of that, and I'll let Joe comment a bit on Pro. As we've said, 2021, to state the obvious, is a very difficult environment to forecast. And I think all your questions are relevant. And what we can say is when you look at the comp cadence for the month during the quarter, you saw us accelerate throughout. You look at the month of January, which is a significant sales performer, and both Dave and I discussed the importance of our Total Home strategy leaning into those 2 events, the bath event and the home organization event, that gives you an indication that the customer is still in the project mindset as they continue to find ways to make their home more livable and more comfortable for all the various activities that COVID has forced upon us. 
 So the short answer to your question is we feel great about the mood of the customer. We feel great about the trends relative to big ticket, small ticket, Pro and installations. And all the work that we put in place the last 2 years in our retail fundamental strategy just gave us a good position and platform to service the customer effectively across all those different categories. 
 I'm going to let Joe talk a little bit about Pro because, again, we're very proud of the performance. As we mentioned in the prepared comments, we delivered mid-20% comps in the quarter for the year. We're hovering around 20% comps. And this was in an environment early in the year where the Pro business became very soft just because of the normal occurrences of customers not being comfortable allowing strangers in their homes. 
 I'll let Joe discuss a little bit more on our excitement around Pro. 
Joseph McFarland: Thanks, Marvin. And Seth, thank you for the question. You're correct, from Q3 to Q4, we did see a nice comp acceleration. We're excited about the underlying demand in the Pro space. As we look at the kind of robust pipeline that's out there in the Pro space, thinking about the expanded product offerings that we've had throughout the year. In addition, I mentioned in my prepared comments, the benefit from TurboTax and the progress that we're making to help these Pros expedite their year-end close. 
 And then in addition, we've been focused on all the fundamentals. And as we continue to move forward, confident that things like our U.S. stores reset and the area that we created for Pros and the ease of Pros to shop. In addition, very excited about the growth of our new Pro loyalty platform, along with the integrated CRM that rolls out. And very excited about what's happening inside the Pro business. 
Operator: Our next question comes from the line of Simeon Gutman with Morgan Stanley. 
Simeon Gutman: My first question is on the outlook or the perspective, if you will. Dave, you mentioned that the business is tracking towards a robust case. And I know robust, I don't know if it was couched as a base case for you or not, but I think we're interpreting it as one. Do you have any more confidence in that? Or are you expecting some twist and turns as the year goes? Or the fact that we're tracking there gives you confidence that -- more confidence in that scenario? 
David Denton: Listen, I think we're only a few weeks into the year, but I think we feel encouraged by the trends that we're seeing at the moment. So I think we -- as Joe and Marvin just articulated, I think the health of the Pro business is sustainable and it's actually accelerating a bit. So I think we feel really good about that. At the same time, the consumer remains healthy and continues to invest in the home to support both their living needs but also their educational needs for the kids, in many cases, and continue to invest to make sure that, that is an asset that is sustainable for them going forward. So we're encouraged at this point, but pretty early still. 
Marvin Ellison: Simeon, this is Marvin. And what I'll add to that is, we'll go back to the same theme that you'll probably hear us say all morning. Obviously, we can't predict with any high degree of precision what 2021 macro will look like. But we're confident in 2 things: number one, that we're going to take market share; and number two, we're going to improve operating income. And I think for us, we're just planting our flag on those 2 things. 
 We believe that 2020 was not an anomaly. We believe it's a reflection of a lot of hard work and retail fundamental implementations we put in place across Lowes.com, Pro, merchandising, store operations, IT infrastructure. And we believe that those initiatives and our Total Home market acceleration strategy is going to allow us to continue to take market share and, at the same time, improving operating income. 
Simeon Gutman: Okay. And my follow-up is in the robust case of 120 basis points, I think, for margin expansion. I don't know if we said, but how much can you look at that amount and divide it among top line dependent versus internal execution or transformation dependent. I don't know if we looked at it that way or if we could bridge it versus the other scenarios. 
David Denton: Yes. I would just encourage you maybe to go back and look at our Analyst Day presentation. I had a building block slide in that presentation that walked us from kind of where we -- where our guidance was for the end of 2020 to a 12% margin rate perspective. And I think it does show a little bit of -- kind of how gross margin might perform as well as how SG&A is going to perform. And again, this is largely about, in aggregate, gross margin rates being relatively flat and us improving our SG&A performance across the business. 
Operator: Our next question is coming from the line of Kate McShane with Goldman Sachs. 
Katharine McShane: I wondered if there was any way you could update us on what Pro is as a percentage of your sales today? I feel like there is some ceiling with your stock price or valuation because the thinking is, is you just don't have as big of exposure to the Pro as your main competitor. But with the comps that you've put up in 2020 and all the initiatives, I wondered if there was any further insight into what that percentage of sales is today. 
Marvin Ellison: Kate, this is Marvin. The best way that I'll answer that is we're going to pretty much stick to our 20% to 25% penetration. We're going to reevaluate that, obviously, coming out of 2020. The key is that, as you know, DIY significantly outpenetrated the Pro during the year. So we know that the 2020 data may not be a good, consistent data set to look at relative to Pro and DIY penetration. So we probably need to cycle through the first half of 2021 to get that data really balanced out. What I can say is, in Joe's prepared comments and also in mine, we laid out some of the specific initiatives related to the Pro. 
 One of the key things that we focused on arriving at Lowe's a little over 2 years ago, is one of the main reasons why we had a gap relative to sales per square foot productivity and operating income by store was because the Pro penetration was significantly less than what it should have been. Pros drive productivity in multiple product categories throughout the entire store. And so part of our focus on the Pro is because we know it's going to be critical for us to improve overall productivity from a space perspective as well as driving operating income throughout the store. So we'll get back to you later in the year on an answer. But the key is we're going to be focused on it, and we think we're making great improvements. 
David Denton: And Kate, I'll just add that we look at it a little bit the opposite. We are underpenetrated, but that is the big opportunity we have. And all the investments we're making is going to allow us to really accelerate in that business segment pretty significantly over the next several years. 
Katharine McShane: Okay. And then my follow-up question is just on wages and how we should think about that in 2021 relative to what was paid in 2020, especially considering the number of bonuses that were given to associates during that time. 
Marvin Ellison: So Kate, this is Marvin. I'll take it. And if Dave wants to provide any additional financial analysis, he can. But I think at the highest level, what we've laid out for operating income targets for 2021, what we laid out at the investor update in December and what Dave mentioned in his prepared comments, reflect any investments we intend to make in our associates. The good news for us, and Dave mentioned this earlier in the morning, that from the year 2019 and 2020 made a $1.4 billion investment in incremental wages, equity programs and other associate-related benefits, and that was pre-COVID. 
 So other retailers candidly are catching up to the work investment that we already made going into COVID, so we don't have an enormous bogey, so to speak, that we need to make from an investment standpoint to catch up. We've been on a pathway to get our wages up. That's why we're very proud to say that we are one of the highest wage retailers from an hourly associate perspective in the U.S. 
 So we don't see 2021 as anything that will be materially different than that. Obviously, we'll look at how the business is tracking, we'll look at the needs of our associates. But any investments we plan to make has already been factored into any financial guidance or at least the range of guidance that Dave has discussed in December and this morning. 
Joseph McFarland: So Kate, it's Joe, and thanks for the question. I'll just add a few things to what Marvin said. And over the last 2 years, we've been taking steps from a store operation standpoint to simplify the store structure, if you think about some of the updates we've given, our 4 levels of sales associate on the sales floor and all the work we've done. And so in addition, the labor management tools and the workforce management initiatives the team has laid out, I feel very good about the balance of ticket and transactions in our transaction-based labor model, and that will continue, to be able to deliver on the operational efficiency we need to. 
 And then finally, for the spring hiring season, we feel that we've done a nice job addressing any difficult-to-hire markets. We measure the pipeline of sales associates coming in by position by market, so we've made adjustments where we need to and feel confident going forward. 
Operator: Our next question comes from the line of Michael Lasser with UBS. 
Michael Lasser: Given the introduction of the PPI initiative, is it likely that you'll come in at the high end of the profitability scenario, even if you don't come in -- even if you come in at the middle end or low end of your sales scenario for 2021? 
David Denton: Michael, it's Dave here. Clearly, what we're doing is we're working really diligently to improve the productivity across our business. And Joe has kicked off a pretty major effort to do that. But we're doing it really across all segments of our operation. 
 That's probably a little bit more specific guidance, if you will, so we're probably not going to go there. But I'll just say that as a management team and as a business, we're controlling what we can control. We're making sure that as we look at these sales scenarios over time is that we're improving our operating income performance. And we're dead set on improving that. We're very focused and adamant about going after that. And I think we have a very good line of sight to that. 
Michael Lasser: Okay. And it seems like you're going to have more takes than puts on your gross margin this year with supply chain pressures, probably inflation drag for at least the near term, and what's likely to be at least some return to a more promotional environment. So in that scenario, with your gross margin already declining in the fourth quarter, how do you keep it flat in 2021? What are the offsets? 
David Denton: Well, listen, we're focused in a few different areas. We've just enhanced our pricing and promotional tools, from a merchandising perspective. I think the merchants have just kind of taken a step back and looked at, from a promotional cadence perspective, how to think of more of an EDLP type environment, at the same time going out and negotiating special buys in certain areas to drive real value from a consumer perspective. I think we're getting a lot more efficient on how we layer in and out of our online business to drive both top line and improve profitability. At the same time, we do need to manage our supply chain to be more efficient as we think about same day, next day deliveries to the home and to the job site. 
 So all those levers are things that we're working on that we're actively using to manage our gross margin performance. And yes, we do have some headwinds, but we're also -- that's part of our job is to manage those headwinds to improve performance over time. And again, with a real focus, once again, Michael, on improving our operating income flow through, that's the opportunity we have. 
Michael Lasser: Okay. And then... 
William Boltz: Michael, this is Bill. I'll just add a couple of comments to that. As we've said over the last couple of years, we've been on a journey to get to more of an everyday competitive price. And so getting credit for what we're doing and less of this high-low approach that we had been typically on prior to this leadership team coming in. And then we have done a lot of work in the last 18 months around our localization initiative, and it's one of our key unlocks and part of our Total Home strategy as we go forward that gives us the opportunity from a margin perspective as well. So we're confident that we can deliver on what we said back in December. 
Michael Lasser: If you could just clarify that, though. Where do you stand today in terms of your pricing position versus where you might have been a year ago? If you can use that as a lever to offset some of the gross margin headwinds that you might experience in next couple of quarters. 
Marvin Ellison: Well, look, this is Marvin. What I'll say, Michael, is it's a work in progress. What I can tell you is the set of tools that Bill and the merchants currently have today versus what we had 2 years ago is truly a night and day difference. So it gives us the ability to have localized pricing and we can price now in more smaller clusters. I mean 2 years ago, we were using blunt instruments to price in broad markets. Now we can get down to individual locations. 
 In addition to that, Joe talked about the expansion of things like digital signs. It may not sound like a big deal, but there are parts of the store where you have frequent, rather volatile price-changing activities, a lot of labor goes into that. And if you can put a digital process in place, it allows you to capture the different costs and retail changes in a way that actually can benefit gross margin. 
 And localization, to Bill's point, solves a couple of major significant issues. But one is you have the right product in the right market. So your exit strategy doesn't just destroy your gross margin because you're clearancing everything just to get it out. I'd use the example at the December update when Bill, Joe and I walked in the store in West Philadelphia and saw riding lawn mowers and big, deep seating patio sets, and sheds and other products that was just waiting for markdown to happen because it was simply in the wrong location from a geographic perspective. 
 So Bill's team is working to solve all of that, so we can have the right product in the right location so we don't take deep markdowns to exit. So all of those things will play a role in giving us -- to create our own internal headwind to go up against some of the investments we're making, like in supply chain. So we'll keep you updated on the activities. 
Operator: Our next question comes from the line of Karen Short with Barclays. 
Karen Short: I know, as you said, you're kind of trending or contemplating you'll probably be at the robust end of your guidance range. But I guess if you end up actually even slightly better than that, how should we think about operating margin opportunity? Would there be upside to that? Or would you reinvest and kind of maintain the cadence that you'd indicated previously? And then I had one follow-up. 
Marvin Ellison: Sure. Yes, ma'am. So Karen, this is Marvin. The best way to answer that question is the simple statement is that we expect to outperform the market and gain share in 2021. So if the market performs better than our robust scenario, that would be music to our ears, because we would believe that it would only provide us with upside opportunity on the top line and on the bottom line. So again, we're going to just have a very, very singular focus on taking market share and improving operating income. And if the macro improves better than our forecast and better than we anticipate, that will be only good news for us. 
Karen Short: Great. And then I just wanted to see, I don't know if you'd be willing to provide this, but would you be willing to give us some color on the number of Pro loyalty members and then just a quick update on timing of combining the Lowe's credit card with the low -- with the Pro loyalty program? Or does all of that happen at the same time as you migrate to the cloud? 
Marvin Ellison: So I'll take the easiest part of the question, and that is, no, we're not going to provide you with the number of loyalty members from a competitive perspective. What we can tell you is that we're very pleased with the adoption rate and we're very pleased with the returned visit as a result of that. I'll let Joe talk about the merging of credit and the platform. 
Joseph McFarland: Yes, Karen, this is Joe. And thank you for the question. We will be migrating our credit platforms and our Pro loyalty platforms together. We have every intention. That is a part of -- it's a huge part of the benefit. Again, we've been very encouraged by the new sign-ups in Pro loyalty, how the Pro customers are responding. We've been very pleased also with our new credit acquisition from a Pro standpoint. And so with those underlying themes, although we won't release the number of Pros, we're excited about what the platform is delivering and all the work that the Pro team has done. 
Operator: Our next question comes from the line of Christopher Horvers with JPMorgan. 
Christopher Horvers: Can you talk about how you think stimulus helped the business there in January? A very strong comp, obviously at 35%. What do you think the lift was? And how would you compare that lift to what you saw last Spring when stimulus hit? 
David Denton: Chris, Dave here. Yes, I do think stimulus, as we cycled into the new year, did help our comps. We estimate somewhere between 50 and 100 basis points from that perspective. I think as stimulus has gone on for a while now, I think the performance and the impact of it has been -- has moderated a little bit. So I think we do see it -- when those trap checks do hit, we do see an inflection kind of up a little bit, but it has not been nearly as dramatic as it was when it first hit basically a year or so ago. 
Christopher Horvers: Understood. And then as you think about -- just to square the T on the gross margin. So in the slides, you have flat gross margin to 12% in the robust scenario. Is there any potential cadence around that? You do have the freight pressures probably earlier, maybe shrink in supply chain investments. So a flat relative to 2020, do you expect it to be maybe down a bit in the first half and then up in the back half and net flat that way? 
David Denton: I think that's a little bit more specific than probably what we could give you some color on at this point in time. I'd just say that at the end of the day, back to Marvin's point, is our focus this year taking market share, improving operating income. That's just are 2 things that we're focused on just consistently, and you'll continue to hear us talk about that, demonstrate our performance in those 2 metrics. 
Operator: Our next question is coming from the line of Eric Bosshard with Cleveland Research. 
Eric Bosshard: Curious in regards to the supply chain investments, Pro and online obviously areas of growth and accelerating growth. But what I'm curious to understand is the incremental investments you're making in both of those areas, some of them you've made already, some that are in process. How will the customer experience be different in those areas in '21? And where I'm really trying to end up is in terms of the share gains that you're making in both of those areas, what do you think about the future of that, especially in terms of payback from where you're investing incrementally? 
Marvin Ellison: So Eric, this is Marvin. And early on, we committed to a $1.7 billion supply chain infrastructure investment between the years of 2019 and 2023, and we're well on the pathway to achieve that. Specific to your question, we're trying to create a market-based delivery model, which will transition the pressure of delivery from our individual stores to a market-based model. In addition to that, we're trying to develop a fulfillment model that will serve a customer any way they choose to shop in this omni-channel ecosystem that we're creating. 
 So relative to a customer, how will it be different? It would be different that you will have a more seamless delivery with better visibility to appointment, scheduling and arrival, specific to any big and bulky items starting with appliances. So for the DIY or the Pro, if you're in the appliance space, you're going to have a more seamless opportunity to purchase a product. 
 Just to take you back to how this has been done historically, when a customer purchases an appliance, the scheduling process is done by an associate calling the customer at home and going through a manual process to try to find a date that best fits the availability of the product and the customers' schedule. To say it's clucky and inconvenient will be an understatement. Now we've transitioned to a digital scheduling model where a customer can choose their own date based on prepublished openness in our system. And our associates have total visibility to inventory, whether it's in their store or in a market-based distribution center. 
 What we're doing on the Pro side is also trying to create more of an omni experience. You're going to see us launching Pro lockers later this year. And you're going to see us improve our job site delivery with Pro and have a lot more flexibility around that. So those are 2 ways that those customers will see a difference. And there are a lot of other activities underway that Joe in operations partnering with the supply chain, but we'll wait till a later day to get into those. 
Eric Bosshard: Okay. That's helpful. And then one question for Dave. The incremental margin of the business in '21, in an upside sales scenario, does the incremental margin change? And I guess what I'm trying to get a sense of is, obviously, in '20, there were incremental investments made through the year as sales came to the upside and were necessary, but diluted the incremental margin of the business. Does that same story play in '21 in a better sales scenario? Or can the incremental margin either be sustained or expand in an upside sales scenario? 
David Denton: Yes. Eric, I would say that it should expand a little bit in upside scenario, just given what we've done in 2020, to your point. 
 So great. So Rob, with that, we're going to take one more question, please. 
Operator: That question will come from the line of Greg Melich with Evercore ISI. 
Gregory Melich: Great. I'd love to follow-up on inflation. So I think you called out 300 bps in the fourth quarter. What percentage of your sales, is that really looking at the commodities? And any number you have for the full year? And if you could even talk about the ability to pass through some rise in input costs outside of those commodities, that would be great. 
David Denton: So yes, largely, the inflation has been centered primarily in the lumber category. If you think about it from that perspective, and again, about 300 basis points. This is -- from a commodity standpoint, this is something that we're very used to managing. And largely, those are passed on ultimately to the consumer at the store. 
Gregory Melich: And for the full year, would that number have been 150 basis points as we're thinking about what it -- how it impacts '21? 
David Denton: Yes. I don't know that off the top of my head. But obviously, inflation in the back half of the year was higher than the first half of the year, so it's certainly less than 300 basis points. And we'll keep -- obviously, we'll keep -- we watch it daily. 
Gregory Melich: Got it. And then my follow-up question sort of goes back to really supply chain. I know you have the plan, and it's coming along. Just given the investments ramps we've seen on -- particularly in supply chain, not just from your number 1 competitor, Home Depot, but from Amazon, from Walmart, where CapEx is sort of up significantly from where it was a year ago. Is there anything you're seeing that you're planning on leaning more into as you get through the first year or 2 of that $1.7 billion plan, whether it's more market delivery operations, more centralized fulfillment? Anything on that as to what you're seeing them do and how you want to respond. 
Marvin Ellison: No, Greg, I think COVID and the pandemic really taught us all about responding to the needs of the customer in a more dramatic way. And also, it taught us how quickly consumer preferences will shift, specifically when it comes to how customers desire to receive products that they purchase. We feel like our strategy is sound. We're the #1 appliance retailer in the U.S. and we do it the hard way. We deliver it from every store, and that is not an optimal way to manage such a large amount of inventory and such a large expense from a transportation perspective. 
 So going to a market-based model is going to unlock an enormous amount of productivity, not only from a store labor perspective but on how we manage billions of dollars in inventory around the company. So market-based delivery is absolutely the way to go. In the moment, we bill the process for appliances, it opens up other product categories like riding lawn mowers and sheds and patio furniture and grills. So this market-based model is going to be incredibly important for us. 
 We opened up a dot-com fulfillment DC in Southern California this past year. It gives us the ability to have 2-day delivery from an e-comm perspective to every U.S. location. We're also opening up 3 additional e-commerce fulfillment centers. That's relatively new to our strategy, to answer your question, and that's going to give us the ability to create more same-day next-day delivery opportunities. And we're aggressively building out our bulk distribution centers and our cross docks to help with the market delivery. In addition to that, we're going to be leaning into Pro job site delivery, and we have a couple of initiatives underway that we're working on to make that a reality. 
 So the short answer to your question is we benchmark a lot. We look at what's working in the marketplace, but we feel really good about the strategy we've laid out. And there's a reason why most retailers delay supply chain transformations because they're very hard to do. And we're committed to it and we understand the benefit of it. And we're going to make the right investments, and we believe is going to allow us to be competitive in out-years. But as an investment, we know we're going to have to lean into for the next couple of years. But again, it's something we're very committed to. 
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.